Operator: Good morning, and welcome to the Vishay Intertechnology Second Quarter 2011 Earnings Call. My name is Melissa, and I will be your conference operator today. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) I will now turn the call over to Dr. Yahalomi. Sir, you may begin.
Lior Yahalomi: Good morning, thank you, Melissa. This is Lior Yahalomi, Vishay’s Chief Financial Officer. Good morning, ladies and gentlemen, and welcome to Vishay’s second quarter 2011 earnings call. On the line with me today are Dr. Gerald Paul, Vishay’s President and Chief Executive Officer; Lori Lipcaman, Vishay’s Executive Vice President and Chief Accounting Officer; and David Tomlinson, Vishay’s Senior Vice President, Corporate Controller. Before I start, Dave Tomlinson will read our customary opening statement.
David Tomlinson: You should be aware that in today’s conference call, we will be making certain forward-looking statements that discuss future events and performance. These statements are subject to risks and uncertainties that could cause actual results to differ from the forward-looking statements. For a discussion of factors that could cause results to differ, please see today’s press release and Vishay’s Form 10-K and Form 10-Q filings with the Securities and Exchange Commission.
Lior Yahalomi: Thank you, Dave. I will summarize our U.S. GAAP results. Dr. Paul will present a detailed analysis of the second quarter 2011 with comparisons to prior periods for our business excluding the spun-off Vishay Precision Group. As you are aware, on July 6, 2010, we completed the spin-off of Vishay Precision Group into an independently publicly-traded company. Although VPG is an independent company, due to certain continuing involvement such as common board members, limited supply agreements, and leases and trademark licenses, we did not restate prior financial statements to present VPG as a discontinued operation for U.S. GAAP purposes. To assist in the analysis of Vishay, including and excluding VPG, we realigned our U.S. GAAP reportable segments segregating VPG into its own segment. Consolidated results for the first and second quarters of 2010 include VPG. Quarterly results. For the second quarter of 2011, Vishay reported revenues of $709.8 million or 2.1% higher than the first quarter of 2011 and 1.2% higher than the second quarter of 2010. We reported earnings attributable to Vishay’s stockholders of $82.1 million compared to $75.3 million for the first quarter of 2011 and $76.7 million for the second quarter of 2010. On an adjusted basis, net earnings for the quarter two were $84.6 million compared to $85.3 million for the first quarter of 2011 and $76.7 million for the second quarter of 2010. Our consolidated gross margin for the quarter was 29.9% compared to 30.9% for the first quarter of 2011 and 30% for the second quarter of 2010. SG&A expenses for this quarter were $92.8 million, or 13.1% of revenues, compared to $92.5 million, or 13.3% of revenues, for the first quarter of 2011 and $109.3 million, or 15.6%, for the last year’s second quarter. The fiscal quarter and six fiscal months ended July 2, 2011 include a pre-tax charge of $3.9 million to accelerate the recognition of certain executive compensation-related to the passing of our Founder and Former Executive Chairman, Dr. Felix Zandman. Other income and expense for the second quarter of 2011 consists mainly of $4.6 million of interest expense, $2.7 million in interest income and $2.7 million in exchange rate losses. The effective tax rate for the second quarter of 2011 was approximately 26%. Capital expenditures for the quarter were $26.8 million compared to $18.6 million in our first quarter of 2011 and $31.1 million in the second quarter of 2010. Depreciation and amortization for the quarter was $46.1 million compared to $45.4 million in the first quarter of 2011 and $48.8 million in the second quarter of 2010. As announced in our press release, Vishay reported earnings attributable to Vishay’s stockholders of $0.48 per diluted share for the second quarter of 2011. Adjusted diluted earnings per share, excluding the executive compensation charge were $0.50 compared to adjusted net earnings per diluted share of $0.49 for the first quarter of 2011 and adjusted net earnings per share – diluted share of $0.40 for the second quarter of 2010. Six months results. For the six fiscal months of 2011 Vishay reported revenues of $1.4 billion or 4.7% higher than the same period in 2010. We reported earnings attributable to Vishay’s stockholders of $157.4 million compared to $122.1 million for the same period in 2010. On an adjusted basis, net earnings for the six fiscal months of 2011 were $169.9 million compared to $122.1 million for the same period in 2010. Our consolidated gross margin for the six fiscal months of 2011 was 30.4% as compared to 21.1% for the same period in 2010. SG&A expenses for the six fiscal months of 2011 were $185.3 million, or 13.2% of revenues, compared to $211.2 million, or 15.7% of revenues, for the same period in 2010. Other income and expense for the six fiscal months of 2011 consist mainly of $8.7 million of interest expense, $4.1 million in interest income and $4.6 million in exchange rate losses. The effective tax rate for the first six fiscal months of 2011 was approximately 31%, which includes $10 million of one-time tax expense due to the write down of deferred tax assets following a change in tax rate in Israel. The normalized effective tax rate was approximately 27%. Capital expenditures for the six fiscal months of 2011 were $45.4 million compared to $49.2 million for the same period in 2010. Depreciation and amortization for the six fiscal months of 2011 was $91.5 million compared to $99.3 million for the same period in 2010. As announced in our press release, Vishay reported earnings attributable to Vishay’s stockholders of $0.91 per diluted share for the six fiscal months ended July 2, 2011. The adjusted diluted earnings per share were $0.98 compared to adjusted net earnings per diluted shares of $0.63 for the same period in 2010. Share count. As you may know, on May 13, 2011, we repurchased $8.62 million of our own shares using $150 million proceeds of a new convertible debt instrument. We purchased our shares at an average stock price of $17.4. Using convertible debt at an annual fixed rate of 2.25% over 30 years was economical to finance our share buyback because the convertible included a contingent interest feature in which Vishay can take tax deductions at its comparable straight debt rate of 8.375%. The transaction was nearly identical to the $275 million convertible debenture share buyback transaction that we completed in November 2010. In the November 2010 transaction, we purchased $21.72 million of our outstanding shares. On July 2, 2010, we had approximately 143.6 million of common shares and $13.5 million of Class B shares outstanding. The adjusted weighted average share for Q2, 2011 for diluted EPS calculation were approximately $170.6 million. We filed a Form 8-K this morning detailing how certain variables impact our share count for EPS calculations. Vishay’s liquidity. As of July 2, 2011, Vishay had cash and cash equivalents of $692.6 million and short-term investments of $314.4 million for a total of $1.007 billion. Our short-term investments are comprised of highly liquid, high quality instruments with maturities greater than 90 days but less than 270 days. The interest rates on these instruments averaged 1.7% and/or approximately 90 basis points higher than interest rates on our cash accounts. Vishay had a total debt of $422.4 million as of July 2, 2011. The debt consists of the following four components. Number one, $95 million of long-term notes with 91 years maturity due on December 12, 2102 with interest rate of 90-day LIBOR plus 0%. Number two, a $97.4 million carrying amount of the convertible senior debt due on 2040, which has a face amount of $275 million. These debentures were issued during the fourth quarter of 2010 with an interest rate of 2.25% of the face amount. The face amount is reduced by approximately $177.9 million unamortized discount, which will be amortized as a non-cash interest over the terms of the debentures. Number three, a $50 million carrying amount of convertible senior debt due 2041, which has a face amount of $150 million. These debentures were issued during the second quarter of 2011 with an interest rate of 2.25% of the face amount. The face amount is reduced by approximately $100.2 million unamortized discount, again, which will be amortized as non-cash interest over the terms of the debentures. And number four, we have a $180 million outstanding on our revolving credit facility, which we entered into during the fourth quarter of 2010 and matures on December 1, 2015 with an interest rate of 30-day LIBOR plus 1.65%. The total capacity under the revolver is $450 million and thus $270 million of which is available as of the end of the quarter. The total available credit line including the $270 million end user revolver in the U.S. was $271 million at July 2, 2011. Vishay’s total available liquidity, measured by cash, short-term investments and all available credit lines is $1.282 billion. There are no principal payments due on our debt until the revolver expires in December 2015. Now, some other summary financials. We are back in our acquisition mode. Last week, we signed a term sheet with a U.S.-based company with annual sales of between $10 million and $15 million and complementary product lines. We expect to close this deal during the late third quarter or early fourth of 2011. It is this type of acquisition and somewhat larger that we want to push through. Going forward, we intend to supplement our accelerated organic growth with targeted complementary acquisitions. According to our growth plan, as outlined in our presentation posted on the Investor Relations section of our website, we are targeting to add, through acquisitions, approximately $100 million of sales per year for the coming years. Depending on the opportunities that we come across, we might make several smaller acquisitions or a larger one. We intend to use cash, not debt or shares, our revolver, of course, as adequate capacity, if necessary. We are not targeting acquisitions larger than $500 million in purchase price. Total inventory at quarter end was $476.3 million compared to $460.4 million at the end of Q1, 2011. Working capital at quarter end was approximately $1.5 billion compared to $1.4 billion at the end of Q1, 2011. Our free cash flow was $49.8 million for the second quarter of 2011 as compared to $80.4 million for the first quarter of 2011 and $78.7 million for the second quarter of 2010. We had another strong quarter with gross margin of 29.9%, adjusted operating margin of 16.8% and an adjusted EPS of $0.50. I will now turn the call over to Dr. Paul, our President and Chief Executive Officer. Dr. Paul?
Gerald Paul: Thank you, Lior, and good morning, everybody. I think that also in the second quarter Vishay continued its strong performance of the year 2010 and of the first quarter 2011, quite according to expectations. We achieved a gross margin, as Lior said, of 30% of sales and operating margin of 17% of sales and adjusted earnings per share of $0.50. As Lior also said, operating margin and earnings per share exclude the one-time expense of $3.9 million pre-tax. We also continue to generate free cash in a healthy way and we have generated free cash of $130 million year-to-date. And the high backlog at Vishay indicates a solid third quarter. Let me talk about the economic environment as we see it. Also, in the second quarter, business conditions remained friendly in general. There were short lead times and there are sufficient inventories at distributors and all this assures a good service level in the supply chain. The concerns around shortages from Japanese vendors have diminished. There isn’t the expected normalization of backlogs and the ASP development has started. There is continued excellent performance of industrial, the industrial segment and of European automotive. On the other hand, there is some slowdown in consumer as well as net and notebooks. Also, the seasonal upturn in Asia seems somewhat weaker than normal. The inventory build at distribution has continued in the quarter, inventories went up by 9%. On the other hand, a strong POS still justifies the relative high inventory levels at distributors; the inventory turns at distribution are overall acceptable but declining. We saw in the second quarter 3.9 turns worldwide vis-à-vis 4.2 turns in the first quarter. In the Americas 2.6 turns vis-à-vis 2.8 turns in the first quarter. In Europe 4.7 turns vis-à-vis 5.0 turns in the first quarter; and in Asia 4.8 turns, vis-à-vis 5.2 turns in the first quarter. Let me talk about the development of Vishay’s business in the second quarter. We have achieved sales of $710 million in the quarter versus $695 million in the prior quarter, and $649 million in the prior year without VPG. So these sales in quarter two met the expected range. Our backlog is still very high, at 3.7 months, 3.9 months for the actives, and 3.6 months for the passives. You will remember that our normal backlog levels are between 2.5 months and 3.0 months, so we have historically very high backlogs. The selling prices, after the increases in 2010, were virtually constant, minus 0.4% versus prior quarter, but plus 3.1% vis-à-vis prior year. The actives are on the way back to normal, ASP declines we had minus 0.8% price decline versus prior quarter. But, we are up by 0.7% in prices versus prior year. The passives are stable on an increased level, there was no price decline versus prior quarter and prices were up by 6.1% versus prior year. Some highlights from operations. Inventory turns in the quarter were at an acceptable level of 4.2. Excluding exchange rate effects, inventories increased by $12 million mostly due to raw materials, $9 million out of the $12 million increase came from raw materials and $3 million happened and WIP and finished goods. There was some buffering due to the events in Japan and we do have plans to reduce the inventory until the end of the year. Capital spending in year-to-date was $45 million versus $45 million also in the prior year without VPG again. We continue to expect capital spending of $175 million in 2011, approximately $95 million for expansion, $25 million for cost reduction and $55 million for the maintenance of the business. Our main expansion programs are for MOSFETs, Trench diodes, power capacitors, power inductors, and special wirewound resistors, all that for better exploiting market opportunities Employment level was fairly stable at 22,500. There were some head count increases in R&D, product marketing and designing just according to our enforcement program for internal growth. We generated $174 million cash from operations year-to-date versus $168 million in prior year, again without VPG. 2011 will be another year of strong free cash flow, year-to-date we generated $130 million free cash as compared to $123 million in the prior year, again without VPG. Let me discuss our results and reconcile the results vis-à-vis the first quarter. Based on $15 million higher sales, $2 million higher excluding exchange rate impacts, the adjusted operating margin decreased by $3 million from $122 million to $119 million. The main elements were a negative from the prices of $3 million, a plus of $1 million from volume, variable costs were up by $6 million mostly due to metals, and the fixed costs were down by $6 million. Now, the reconciliation of our results versus prior year. Based on $61 million higher sales, $34 million higher excluding exchange rate impacts, the adjusted operating margin increased by $24 million from $95 million to $119 million. The main elements were a positive from the prices of $21 million, positive from volume $8 million, variable costs were up by $7 million, whereby $16 million more than anything came from the metals. Fixed costs were better by $7 million mostly because of the non-repetition of VPG spin-off costs last year. Exchange rates had a negative impact of $3 million and all inventory impacts together are at also a negative impact of $2 million. I would like to go through the various lines we have and I would like to start, as always, with resistors and inductors. Supported by a continued strong demand from automotive and the industrial segment, our traditionally most successful business had another excellent quarter. Of course, our strong position in Europe clearly helps. The sales in the quarter were $168 million, which was 5% below prior quarter, but 5% above prior year. The book-to-bill ratio for resistors was 0.99. The backlog is high at 3.1 months. We achieved gross margin of 35% of sales, which is the continuation of the excellent performance of resistors and inductors of previous quarters. ASPs were stable to slightly up, 0.1% up versus prior quarter, 0.4% up versus prior year. The inventory turns were at excellent 4.7 and we expect a strong continuation of the business also in the third quarter slightly impacted by European seasonality. Coming to capacitors, our business in this capacitors is based on a broad range of technologies with a strong position in European and the American market niches. It benefits from the present strength of European auto and industrial applications and we are well positioned in renewable energy. Sales in the quarter were $154 million, down by 7% versus prior quarter, but up by 10% versus prior year. There was a normalization of tantalum capacitors after really overheated market conditions. The book-to-bill ratio for capacitors was 0.89. The backlog is still high, very high at the level of 4.1 months. Gross margin came in at a good level of 29% of sales, which is down from Q1, but Q1 contains some positive similarities from inventory valuation and scrap reclaim. The selling prices were stable quarter-over-quarter, but remain substantially above prior year by 13%. Inventory turns were slightly down to 3.1 due to the lower volume and we do expect a seasonally somewhat weaker third quarter. Coming to opto products, Vishay’s opto business consists of infrared sensors, couplers and LEDs. And we are the largest supplier of infrared products. The business contains a high share of customer-designed products. Sales in the quarter were $64 million, which is 8% above prior quarter and 5% above prior year. The book-to-bill of 0.86 brought backlog closer to historical levels, but the backlog is still very high at 3.5 months. Gross margin continues at a good level at 34% of sales and we achieved excellent inventory turns of 5.6. Selling prices were fairly stable, minus 0.5% versus prior quarter, and minus 0.8% versus prior year. We expect a similar third quarter for our opto products. Coming to diodes, diodes represent a broad commodity business where we are the largest supplier worldwide. We offer virtually all technologies as well as the most complete product portfolio. And we are leading in particular in power applications. Sales in the quarter were $170 million, which is 5% above prior quarter and 8% above prior year. Book-to-bill was at 0.97 and the backlog is at four months, which is very high. Based on higher volume, gross margin increased to 26% of sales and the turns were quite excellent 5.3. There is a return of the price decline. We have seen a price decline of 0.8% versus prior quarter, but we are up vis-à-vis prior year by 3.3%. We see continued success with our Trench diodes where we practically continue to be in a sole source position. All power packages are now available in our new Trench technology. And also for diodes we expect a similar first quarter. Last but not least, the MOSFETs, we are the market leader in low-voltage MOSFETs. Sales in the quarter were $153 million, up by 7% versus prior quarter, down by 1% versus prior year. The book-to-bill ratio was 0.95; the backlog is still high at 3.9 months. Gross margin came in at a solid level of 28% of sales and inventory turns also at a good level of 4.0. Similar to diodes, the business with MOSFETs is getting back to a normal ASP development; we’ve seen a price decline of 1.0% versus prior quarter and of 1.4% versus prior year. There is a very strong demand for industrial – in the industrial market for high-voltage MOSFETs. There is capacity expansion in Vishay on the wave for new Super Junction technology and we expect the volume production in the first quarter of 2012. Also for the MOSFETs we expect the third quarter to be on the same level. Now let me summarize. The quarter for our enterprise as well as for me personally was overshadowed by the loss of our Founder and Executive Chairman, Dr. Felix Zandman. His vision of a multinational broad liner was quite revolutionary in our industry and will continue to be the basis of our success. Our new Executive Chairman, Marc Zandman and myself, both of us are committed to carry on Felix’s vision. The financial results of the quarter, like of last year and prior quarter, were quite excellent in terms of profitability and cash generation. For the third quarter, we expect a continuation of a friendly economy, but we also see some adverse factors like high inventory levels at distribution, in particular in Asia. We, therefore, guide to a sales range between $675 million and $715 million with a mainly volume driven gross margin reduction. Being very confident about Vishay’s mid-and long-term future and focusing on our goal to enhance shareholder value; we have developed and published a plan to materially improve earnings per share over the next years based on accelerated internal growth in combination with some acquisitions. In this context, we have announced the promotion of Dieter Wunderlich to Chief Operating Officer of the company; and Johan Vandoorn to Chief Technical Officer of the company. Both gentlemen have had long careers in our industry and at Vishay, both have a technical background and both, like myself, are committed to Vishay’s growth and success. We are sure that in their new positions they can even help me more in my duties as the CEO. And now we are open for questions. Melissa, please.
Operator: (Operator Instructions). Your first question comes from Steve Smigie.
Steven Smigie – Raymond James & Associates: Great. Thank you. I was hoping you could comment a little bit more on the gross margin decline you are expecting sort of – is it 50 basis points, 100 basis points or just an order of magnitude on it...?
Gerald Paul: It’s just related to volume and you know we have approximately 50% variable margin, so it’s mainly volume related and you see how the mid-point goes down. It answers the question I believe.
Steven Smigie – Raymond James & Associates: Okay. And it sounds like there is a little bit of excess inventory out there in the channel and I think you built a little bit here. So, if I look at typical seasonal patterns Q4 might be down a little bit. That suggests you have a little bit more gross margin erosion going forward and particularly since we have the – it seems like the return of a normal pricing patterns for the discrete devices?
Gerald Paul: I mean there will be some inventory reduction at Vishay as I told you, but a major part of it is raw materials and this is what I try to refer to. Of course, to the extent finished goods and work-in-process will be concerned, but it’s the smaller portion, there is some limited impact on the gross margin also. So...
Steven Smigie – Raymond James & Associates: Okay. And then with regard to operating expense, I think the mid-point of the guidance you are down about 2%. Will you, on the revenue side, will you keep the OpEx dollars roughly similar or will you adjust that down a little bit to account for the sort of midpoint of the revenue range.
Gerald Paul: Well first of all, it will, for the next quarter, it will be practically unchanged at the level we had. And also even if things got worse, we will speak to our technical program. So, we may squeeze at another point. But, as a matter of fact, I want to continue with our programs, our technical programs. But we have a high backlog. We are looking for another good quarter.
Steven Smigie – Raymond James & Associates: Great. And if I could sneak one last one in, on the acquisition that you guys mentioned 10% to 15%, I think you said it was, can you talk about the nature of the products in there and whether you guys expect that to be accretive or dilutive?
Gerald Paul: Lior, do you want to answer?
Lior Yahalomi: Yes, I mean – this is Lior. We decided that at this point not to share the nature of the product lines. But, we emphasize that it is complementary at Vishay only because we are at the term sheet level and we will share that of course at closing. What was the second question, sorry?
Steven Smigie – Raymond James & Associates: Accretion...
Lior Yahalomi: Yes, yes, I’m sorry, as Dr. Paul indicated over last several quarters including in our M&A strategy, this will be accretive.
Steven Smigie – Raymond James & Associates: Okay. And I guess you don’t want to...
Gerald Paul: (Inaudible)
Steven Smigie – Raymond James & Associates: Go ahead, I am sorry.
Gerald Paul: The payback is below the eight years to be relevant.
Steven Smigie – Raymond James & Associates: Okay. And just – I don’t need too much you detail, I’m just sort of curious on the product – is it still in the discrete product areas either active or passive or you’re looking to get into integrated circuits with this a little bit?
Gerald Paul: Within our passive range and it complements our portfolio right now.
Steven Smigie – Raymond James & Associates: Okay. Thank you very much.
Operator: Your next question comes from Shawn Harrison.
Shawn Harrison – Longbow Research LLC: Hi, good morning. Just a follow-up on the M&A, $100 million a year revenue goal that – is that something you expect to hit this year with the small transaction announced? So, we should expect more in coming quarters?
Lior Yahalomi: Yes.
Gerald Paul: Obviously, we are looking for our candidates at $100 million principally speaking can be achieved. Yes.
Shawn Harrison – Longbow Research LLC: Okay. And then the follow-up I just want to maybe drill into the POA versus the POS at distribution, I think your statement was it was relatively high during the quarter, but are you seeing that diverge now in the – through July into early August maybe some of the trends during the early third quarter where we started to see maybe distribution pullback a little bit further?
Gerald Paul: The orders from distribution have clearly weakened in July. So, we believe that they work on the inventory.
Shawn Harrison – Longbow Research LLC: Okay. I guess that flows into the backlog question, it’s still well above I guess where you would like it to see. How should we see that normalize through the back half of 2011, is that just a function of inventory adjustments or would you expect some cancellations in the backlog as maybe you bring some more capacity online?
Gerald Paul: We have – we are watching cancellations and we cannot see a significant increase of cancellations at this point. I believe we are going back in steps to our normal situation with backlogs between two and half month and three months. This will take some time. I could imagine this really extend over the second half of the year normally doesn’t go that quickly.
Shawn Harrison – Longbow Research LLC: Thanks so much.
Gerald Paul: Okay.
Operator: Your next question comes from Jim Suva.
Jim Suva – Citigroup Global Markets: Thank you and congratulations to you and your team, gentlemen. My question is regarding the impact of raw materials and cost of goods sold that you are using. Should we think about – are we at a gross margin level that’s now sustainable except for mix-driven or are there some additional challenges with raw materials that could impact gross margins in the quarters ahead and how we should think about that impact to your financial model? Thank you.
Gerald Paul: Jim, I mean I cannot forecast how metals – we are talking metals in reality, how metals will go. But I only see that the major pressure, which we have seen in quarter two again has gone away. It’s not as severe anymore altogether than it has been. So, if it stayed at this plateau by nature it’s not a big- it’s not an impact on our gross margin level. Our gross margin really is driven by volume and price, but as you know for half of our products really for the passives there is no price decline. And for the actives, well, it’s true, we are entering back a phase of normalized price decline, but our industry is used to that and we have cost reduction programs. But materials, I believe, may I say that from my perspective without knowing the future obviously, the worst seems to be over.
Jim Suva – Citigroup Global Markets: Great. And a quick modeling question, can you help us with what you believe the forward tax rate should be for the company?
Lior Yahalomi: It is 27% roughly as we indicated.
Jim Suva – Citigroup Global Markets: Great. Thank you, and congratulations, gentlemen, to you and your team.
Operator: Your next question comes from Matt Sheerin.
Matt Sheerin – Stifel Nicolaus & Co., Inc.: Yes, thank you, from Stifel Nicolaus. So just getting back, Dr. Paul, to the questions of distribution and customer orders in general, do you get a sense that correction that you’re seeing is going to take a quarter or given that the distributors are looking like they’re seeing weaker orders, weaker than seasonal, do you think it will take more like a couple of quarters through the December quarter to work that down?
Gerald Paul: Well, I cannot see distribution panicking at all, I mean they have a strong business, which leads me to the assumption, Matt, that this normalization will go smoothly, which I believe will take two quarters, it’s my personal opinion. But, of course, if the economy turn down, which, at the moment, the backlog doesn’t indicate at all, but if it should go down then of course there can be more pressure on the inventories. But under these conditions, which we see today, I would expect normalizations in the next six months.
Matt Sheerin – Stifel Nicolaus & Co., Inc.: Okay. And you talked about some areas of strength auto, industrial, some weakness in consumer, could you talk about what you’re seeing in mobility space where I know you have a lot of exposure there, there are some winners and losers? How are you spread in terms of your exposure across the smartphone players and the tablet players now?
Gerald Paul: As a matter of fact, we are well positioned, but it’s true that this is a certain segment of weakening at the moment. And, as I said, before the seasonal upturn in Asia is not that strong this year. So, altogether it’s a picture, which indicates some slowdown there.
Matt Sheerin – Stifel Nicolaus & Co., Inc.: And that’s in the – that’s in the mobility space, in the smart phones?
Gerald Paul: Yes.
Matt Sheerin – Stifel Nicolaus & Co., Inc.: Okay. Could you give us a rough idea for the share count for this coming quarter, because I know you did some of the buybacks during the quarter?
Gerald Paul: Yes, Lior you can (inaudible).
Lior Yahalomi: We have filed an 8-K and I think it’s best if you look at that in detail and then we’ll be happy to answer any specific questions.
Matt Sheerin – Stifel Nicolaus & Co., Inc.: Is that number in the 8-K?
Gerald Paul: Yes.
Lior Yahalomi: Yes definitely.
Matt Sheerin – Stifel Nicolaus & Co., Inc.: But you can’t tell us. Okay, okay we’ll take a look. And then lastly, just on the M&A, is that – is your intent to do M&A both on the actives and the passives side or is there one preference?
Gerald Paul: The preference is for specialty products and by nature of things we find this more likely on the passives side. But we are open in both directions. I think the criteria are fixed and coming back to this – to the acquisitions, I think it’s a good sign that we have started it. It’s a very nice line, it’s complementary and fits the need of the professional industry so to speak. So, we’re back, this is the message and we will continue.
Matt Sheerin – Stifel Nicolaus & Co., Inc.: Okay. Thanks a lot.
Operator: (Operator Instructions) Your next question comes from Steve Smigie.
Steven Smigie – Raymond James & Associates: Great. Thanks for the follow-up. So, just with regard to the end markets, I think you indicated in the quarter just passed that you had the strength in the auto industrial. Is that continuing in your guidance, I mean are you still seeing – we’ve obviously heard of auto weakness from some other guys, but that seems more tied to maybe a one quarter Japan disruption and I think you guys are maybe less exposed to Japan than some of the others. So, any color you can provide on those markets would be great.
Gerald Paul: I think in our guidance included is a seasonal, slight seasonal decline of European industrial, but this is really seasonal I would like to highlight that. Europe has a seasonality. The auto industry this year pulls through and we do not expect to see any seasonality in automotive Europe. They are still super strong, but industrial includes a little slowdown, which is due to the summer.
Steven Smigie – Raymond James & Associates: Okay. And then I guess overall you are indicating again that you see the overall environment as friendly I mean I think we’re seeing a number of people takedown the results here, but some other – even people who are taking down numbers are saying they don’t see a major negative drop-off like going into a 2008-type situation. I mean obviously GDP is not great at least in the U.S. so we are not saying things are great, but it doesn’t seem like it’s a fall to (inaudible) in the quarter?
Gerald Paul: I’m not the one to comment about the global economy. What I can see is really the situation of our business and I have to state it’s friendly, there is no question. There is some weakening in Asia, as I said before, but Vishay is positioned very strong in Europe and this helps at the moment of question.
Steven Smigie – Raymond James & Associates: And the nature of that Asian weakness is that more just the local , Chinese market or is that more just ODMs and so forth at our automation products elsewhere in the world?
Gerald Paul: I personally believe that we see the results already of some overstocking and the distribution in Asia. This is I think more a correction than anything else.
Steven Smigie – Raymond James & Associates: Okay, great. Thank you.
Operator: (Operator Instructions). There are no further questions. I would now turn the call over to Dr. Yahalomi for closing remarks.
Lior Yahalomi: Thank you, Melissa. Thank you all for your participation. We appreciate your interest and look forward for your continued interest in Vishay. Thank you.
Operator: This concludes today’s conference call. You may now disconnect.